Operator: Good morning, ladies and gentlemen, and welcome to Osisko Gold Royalties Q4 and Year 2020 Results Conference Call. After the presentation, we will conduct question-and-answer session [Operator Instructions]. Please note that this call is being recorded today, February 25, 2021 at 10:00 AM Eastern Time. Today on the call, we have Mr. Sandeep Singh, President and Chief Executive Officer and Mr. Frédéric Ruel, Chief Financial Officer and Vice President, Finance. I would now like to turn the meeting over to your host for today’s call, Mr. Sandeep Singh.
Sandeep Singh: Thank you operator. Good morning, everyone. Thank you for taking the time for an update on our Q4 and 2020 full year results. So Fred and I will walk you through the results this morning and then Sean will also be available during the Q&A. The presentation I'm following is on our Web site. So please, if you haven't already, you can pick it up there and I'll do my best to refer to Page numbers as I'm going through it.Starting with the forward-looking statements on Slide 2. Please be mindful that we will be making forward-looking remarks. On Slide 3, just kicking into the highlights for the year. I would say to start off with despite the obvious challenges with respect to COVID this year for us and more importantly for our operating partners, we ended up having a very strong year, earning just over 66,000 ounces for the year above our revised guidance, taking into account the shutdowns that we experienced in Q2, and ended the year kind of back where we started in terms of a run rate with all our assets now trending along at their full capacity we believe, that lead to record cash flows, obviously, and revenues buoyed by the fact that the decreased production for the year was compensated by higher gold practices. And we look forward to higher gold and silver prices. We look forward to continued positive outlook from a gold and silver perspective going forward. Our margins stayed high at 94%, the highest in our peer group, by virtue of having more royalties and streams, and more free ounces and cheap ounces, if you will. And generated a significant amount of adjusted earnings over the course of the year at $0.27 a share on a basic share basis. And Fred will walk you through some of the more details around that. I think worth pointing out that for the quarter a lot of what you're seeing, and I think many of the analysts who cover us have already picked up on this, is some slight bit of noise due to the Osisko Development spinout transaction that concluded in Q4, and a little bit of consolidation around that. But when you take into account some of those onetime items, many of which were non-cash oriented or also disproportionately picked up by Osisko Development, we get to a point where we're quite happy with the quarter that we're coming out of today. And again, Fred will go through that in a little bit more detail. We did acquire buyback some shares at the worst of COVID. So we did buy back some very cheap stock during the year for a total of about just under $4 million. And we declared quarterly dividend summing up to $0.20 a share, still the highest yield in our peer group and something that's very important to us as we go forward.With no disrespect to the accountants among us, I think more importantly than any of the noise in the financials is the fact that the business is in the excellent shape as we ended 2020 and as we start 2021. Our producing assets are outperforming almost without exception. Our development assets are advancing steadily. Our exploration or earliest stage development assets as well are delivering several positive surprises. And we expect that to continue to happen as more and more exploration dollars are being spent in the sector after several years of restrained spending on that side. We expect that catch up to benefit our portfolio quite disproportionately. And then again, Q4 marked the end, the last quarter of our spend on Barkerville, our direct spend on Barkerville. That was a finite period of time. It lasted between the North Spirit transaction to the Osisko Development spinout the year, and certainly created a lot of value in the process. Skipping over to Slide 4, to finish that thought. 2020 was an important strategic year for us. The culmination of North Spirit transaction into Osisko Development within the span of roughly a year. And again, as I said, creating a significant amount of value that we now look forward to getting all the credit and value for. Since that spin out, Sean at Osisko Development has raised circa $250 million to unlock a significant amount of value in that asset base for the benefit of Osisko Development but also the benefit of OR. And we look forward to that process continuing as that public company is really just gotten on its feet here at the start of the year. In that process, we also acquired, as you all already know, the San Antonio gold project or the stream on the San Antonio gold project in Mexico. From my perspective, that's the cheapest 9000-ish ounce stream I've seen anyone collect anywhere. Obviously, that asset needs to go through permitting in Mexico. And the team is pushing that forward, substantially at Osisko Development. But what we see there on our stream is the upside potential. Osisko Development has already acquired a crushing circuit that can run about 15,000 tons per day. If you start to talk about those types of run rates or anything close to it, it's a substantially higher stream than what we've been talking about. So we look forward to that coming into the midterm of our pipeline. Also, throughout the year, we did some other things that we think added significant value. We improved the silver stream on Gibraltar at the right time, that mine continues to now benefit from significantly higher copper prices. So we're happy with our added exposure to Gibraltar. We also acquired an additional 15% of royalty package that we already own predominantly on the Island Gold Lamaque mine. So adding to our royalties in those two mines, I think it's safe to say was good timing, as both of those are now going through some pretty important exploration, and expansion phases. We also announced the strategic partnership with Regulus, whereby, we added a significant royalty that paid for that transaction off of that on what is a large asset today, one that's only getting bigger and ultimately, we think a large company asset in a pretty important copper price environment, and also gained exposure to additional royalties that they may buyback overtime. And as you all know, concluded the financing with Investment Merchant Bank back in April, it was done at a premium during the worst of COVID. So strong endorsement from our partners there. If you move to Slide 5, just a recap of the producing asset base. Again, I'll reemphasize that it's doing extremely well. Some of you cover -- on the analyst side, I'm sure some of you cover these other names, you could picking up on the positives that have been coming out of their Q4 disclosure, their resource updates, some of that's already come out, others yet to report. But almost across the spectrum, we're seeing good news. Starting with obviously on our flagship assets, Canadian Malartic where that mine has gone from open-pit towards the end of this decade to now talking about production 2030 and plus. So we look forward to our flagship assets, being our flagship asset for decades to come. And I'll pick up on some other positive advancements a little bit later in the document. And then you see a split of our production for 2020 by commodity as well. We are gold and silver dominated, that's a core part of our portfolio. And for anybody that has a Reddit blog, feel free to point out the level of silver contribution that we add of about 24% within the company in 2020. On Slide 6, just a little bit more on where we've come from and I guess where we're going. You'll notice the production annuals for 2019-2020 and then our guidance of 2021, ranging between 78,000 and maybe 2,000 ounces. So mid point of 80,000. And again, still expected to be the highest cash margin in the business when you exclude the optics. I think it's worth pointing out though, deals, it might feel like that getting back to 2019 levels. But I would remind everyone that our 2019 production included a significant amount of Brucejack contribution, that stream and optic was bought back. We got paid for it. But it did take down our production levels and also included Renard, which we're now intentionally keeping off to the side until we can fully benefit from those cash flows.So taking that into account, in 2020, we're back at the same level of production with those ounces gone and with many of our mines shut down. And now we look forward to kind of a 20% increase, whether you look at 2019 or 2020 off the same asset base. So a fair bit of growth to compensate for those other factors. And then more importantly, as you look to the right, some significant assets that are in our pipeline that are maturing, coming along at a pretty steady pace. I would say, all maybe with one exception here, moving forward steadily and we look forward to this paid for growth coming into the company, especially at a time when new transactions in the sector on the royalty and streaming side have gotten, and it's fair to say more expensive. And as a result, a little bit riskier. We look forward to this paid for pipeline is tying to deliver for us.In the guidance numbers for 2021, I think we made the point in the press release that, Mantos has gotten deferred a little bit. We're talking about a few months delays when you take into account COVID, I think that's frankly, pretty diminimous. So it doesn't bother me and the least that that Mantos expansion has been pushed into 2022 as opposed to catching some in 2021. I think important news is all of this is still in front of us and all of it's still progressing quite well. With that said, I will pass it off to Fred on Slide 7, to walk you through some of the more detail oriented aspects of the quarter, and then I'll pick back up thereafter. So Fred?
Frédéric Ruel: Thank you, Sandeep. Thank you for joining us today. As you know, busy year for Osisko with COVID where some operators shutdown or reduced their operations, mostly last spring. And of course the completion of the RTO transaction in November, creating Osisko development, all raised over $250 million in the last months. We earned 18,829 GEOs in Q4, excluding as Sandeep explained, the GEOs earned from the Renard diamond streaming in Q4 for a total in 2020 of over 66,000 GEOs, exceeding our revised forecast. In Q4, we generated record quarterly reviews of $48.8 million from royalties and streams, operating cash flows of $39 million and operating cash margin on our royalties and streams of 94%, an amount of $15 million was also repaid in Q4 on the credit facility. As presented under Slide 7 of the presentation, we recorded record revenues from royalties and streams of over $156 million last year compared to $140 million in 2019. Cash flows from operating activities reached a record $108 million compared to $92 million in 2019. If we go on Page 8, we have a summary of our earnings and adjusted earnings. Net income was $16.9 million or $0.10 per share compared to a net loss of $224 million in 2019. The loss in 2019 was due to significant impairment charges. Adjusted earnings were $43.7 million or $0.27 per share compared to $41.9 million in 2019. On Slide 9, we present our quarterly and annual results. GEOs from gold and silver production were higher in Q4, as all mines have returned to their pre-COVID level. GEOs from diamonds have decreased. As I said, we have excluded the GEOs from the Renard stream starting in Q4. Revenues increased in Q4 from $51 million in 2019 to $64.6 million in 2020. And you will note a decrease in our annual revenues but this was due to the sale of the Brucejack off take in September of 2019, which was partially offset by a higher realized price on gold and silver. Our average gold price per ounce sold amounted to CAD2,544 in Q4 2020 and [$2,273] for the year, a significant increase over 2019. Gross profit for the fourth quarter increased to $32.8 million, up from $23.9 million in Q4 2019. For the year, our gross profit was $104 million, up from $83 million in 2019. Our net cash flows from operating activities reached $32.6 million in the fourth quarter of 2020 for a record $108 million for the whole year, up 18% compared to the previous year. Our adjusted earnings in Q4 amounted to $12 million or $0.07 per share, reflecting a tax expense of CAD5.8 million and or $4.5 million on the acquisition of the San Antonio stream. This tax expense will be paid by Osisko Development in Q1 of this year, but is of course included in our consolidated results for 2020. Excluding this onetime tax expense, adjusted earnings would have been $17.8 million or $0.11 per share. And I'd like to remind also that additional expenses of approximately $4 million related to the RTO transaction are included in our operating expenses in 2020, including a noncash listing fee of $1.8 million. These expenses were shared between Osisko Gold Royalties and Osisko Development, but are all included in our consolidated results. These expenses were of course onetime items. If we go on Page 10 of the presentation, we present a breakdown of our cash margin for Q4 and the whole year. The cash margin on our royalties increased in Q4 to reach $34.3 million compared to $26.3 million the previous year. For 2020, the cash margin on royalties reached $111 million, an increase of $14 million compared to 2019. The cash margin on our streams amounted to $11.3 million in Q4 and $36.3 million for the year, up from $9.1 million and $29.5 million respectively in 2019, resulting in a cash margin on our royalties and streams of 93.45% in Q4 and 93.9% for the whole year 2020. Our total cash margin reached $46.3 million in the fourth quarter, $10.6 million higher than the previous year. For 2020, our total cash margin reached $150 million, an increase of $20 million. And finally, if we go to Slide 11, you will find a summary of our financial position. Our consolidated cash balance was $303 million at the end of the year, including $105 million for Osisko Gold Royalties and $197 million for Osisko Development. Osisko Gold Royalties held investments having a value of $216 million at the end of December, in addition to our investment in Osisko Development valued at over $750 million for a total of $1 billion in value. Our debt amounted to $400 million on December 31st. We have repaid an amount of $15 million in Q4 under our revolving credit facility. In Q1 of this year, we have also repaid our $50 million debenture with Investissement Québec using our credit facility, therefore, reducing our interest payable by approximately 1.5% on that debt. Including the accordion available, our available credit on the facility is over $385 million as of today. Back to you, Sandeep.
Sandeep Singh: Thanks very much, Fred. Skipping forward to Slide 12, and obviously, Fred will be around for any detailed questions thereafter. Moving to Slide 12 and picking up on Canadian Malartic. Obviously, our flagship asset is doing exceptionally well. From an open pit perspective, based on guidance provided by the operator, we're expecting our best year yet from the open pit, obviously, benefiting from the higher grade contributions of Barnett. So expecting north of $35 million, almost 36,000 ounces of GEOs when you account for the silver contribution as well. And the biggest catalyst there and the biggest catalyst in our portfolio, obviously, would be on Slide 13.The underground construction decision by Agnico and Yamana, as well as the first set of economics underpinning that put out just a couple of weeks ago. Huge catalyst, I think, it's fair to say for us, we've had a flagship asset that was finite in life otherwise 2027, '28, '29, whatever peoples’ expectations were of the open pit mine life, that's now turned into two decades plus, importantly, only with 50% of the reserves and resource, that amount to about 14.5 million ounces right now, embedded in that mine plan. So still a lot of upside to come based on everything we're hearing from our operating partners. Added to that upside, I think, disproportionately on the East Gouldie zone where most of the current ounces are. 11 rigs focusing on that area. Almost this year, double the amount of the exploration that's been put into the asset to-date in aggregate. So we still expect a lot of potential positives to come from that. We're missing a little bit of detail between what falls within our 5% and 3% ground on East Malartic. But I think with a little bit of accounting for that, you can kind of approximate 4.5% NSR overall for us on the entire project. So can underscore the importance of that, our flagship asset has essentially doubled in value, more than doubled in duration, and we look forward to continued positive news on that front. If you flip forward to Slide 14, our other significant producing assets, I'd say, doing quite well. Mantos, the expansion we're now expecting to tie in at the end of the year. So we haven't given ourselves really any credit for that in 2021. And again, I think, delays measured in a matter of a few months when it comes to COVID and South America should be seen as win. So we look forward to that significant increase in silver production to kick in for us next year, and every year thereafter.On the Eagle side, quite happy to see positive fourth quarter for Victoria Gold where production was up over 42,000 ounces, a 20% increase over Q3. Again, I don't want to sound like a broken record, but we didn't get the benefit of that. In our Q4, obviously, we always have a bit of a delay. So we look forward to that ramp up continuing to benefit us and the operator. They're into the coldest winter months so they have been for some time now. And as per plan, not stacking as a result but completing importantly much of their optimization efforts during that timeframe. So we look forward to continued step change improvement from Eagle, and much like everywhere else in our portfolio There's a lot of positive exploration results they've already put out, and we look forward to that trend continuing. On Éléonore, I'd say steady state or frankly, slightly better than steady states that they have guided towards, which was 250,000 ounces per annum guidance of 270, and returning focus on exploration. I read through a fairly positive exploration tone to their last set of disclosure. So we look forward to that starting to benefit us and the mine. But frankly, steady state after the last couple of years of Éléonore, I think is also considered win from my perspective at least. On Slide 15, I won't go through all these next pages in detail, but I think they're available if we want to come back to any specific questions on assets. Importantly, I said it before, I'll say it again. The producing assets could not be doing better as a whole. We see positive news across the spectrum. On this page, I'll pick up Island Gold only because Alamos is the most recent to put out results. And Island continues to get bigger, reserves increased, resources increased significantly, further justifying that expansion that they announced last year, which to remind people is about 70% increase in ounces. And we benefit from that on our 1.4% royalty ground. But importantly, a lot of the recent exploration results to the east and a depth are on to our 2% and 3% royalty ground. A significant portion of what we can see in that new inferred category that's almost 15 grams per ton is on to our 2% and 3% royalty ground. So that is a significant asset getting better all the time. And I believe there's circa $25 million budget plan for this year. And the commentary from Alamos has been excellent in terms of potential for further growth. That's one example. I think that story is playing out across the spectrum. On Slide 16, in terms of the growth assets, the development assets, I should say. Again, all of them progressing quite well. Moving forward, at least on this page, we look forward to a lot of catalysts on the Osisko Development story, which comprises obviously, as everyone knows, Cariboo and San Antonio. We'll get small production, I guess, from each this year, from the satellite to Cariboo, as well as from stock pile at San Antonio. But those are not the more important facets of either of those stories, it's nice but obviously, we expect the focus within that company to be on the larger projects at Cariboo and San Antonio. Importantly, as we said earlier, Sean and the team there are exceptionally well funded right now to push hard. And we are entering into a catalyst rich phase for Osisko Development with respect to drilling, resource updates, studies and permitting. So we look forward to that news for this year. On Windfall, which is Osisko Mining flagship asset in Quebec, a pretty unique combination of grade and size with the total resource now up at 6 million ounces based on their last report, M&I of about 1.9, I believe, it was inferred the rest of the way to get you to six and the grades continuing to, if not stayed steady, frankly, improved. So we look forward to not only continued exploration results there, continued infill drilling that will increase that M&I culminating in a feasibility study and advancement of that project. And even on Horne 5, which is a significant resource, 6 million ounces of reserves, gold equivalent circa 10 million ounces of resources. We get eventually the silver off that mine, which is obviously increasingly more valuable than what we've modeled in the past.It's an important year for Falco and they've made good strides with Glencore last year, we look forward to that trend continuing and then breaking the back of a path forward for that mine. Slide 17. Again, I won't go through these individually, but just other large assets that are moving forward in Hermosa. We look forward to prefeasibility study from South 32 there, which will optimize across the teams in terms of the understanding of that deposit and the path forward for it, but it's the one of, if not the best, undeveloped poly metallic asset in the world. Pine point as well moving through maybe some of the boring phases of mine development with phases that matter, and we look forward to that continuing this year. And then on Renard and the Valstar, we talked about them quite a bit, I'm sure we'll talk about them again later on. But two big option value assets for us. We're a year into those kind of restructuring phases and I would say on both frankly ahead of where I expect it to be within a year. On the diamond side, diamond prices for Renard have bounced back to $80 a carat so far, north of where they were pre shutdown. I think safe to say the Argyle shutdown and the removal of 15% of diamond supply globally is starting to play out. And importantly, it's not just for Renard, it's across the space. So hopefully that diamond sector becomes a little bit healthier, which can only benefit Renard. And then on the Malar, we say here more than half built, but it's significantly more than half built. There the trick is access and a path forward. But the team onsite has had unfettered asset to the site for months. The government wants to think to see that asset go forward. They certainly need foreign direct investment. So we look forward to hopefully some progress on that front this year. On Slide 18 and 19, we have kind of other layers of earlier stage assets, or in some cases, earlier stage assets to talk about. I won't go through them. The point of this is, and it's frankly not exhaustive, these two pages. The point of it is, it's a really deep portfolio and it's getting a significant and increasing amount of exploration dollars spent on it, and it's proving itself across the board. So we look forward to continued success by our operating partners on those fronts. Maybe on Slide 19, the one or two that I'll pick out to talk about. Eldorado, we have the 1% NSR on the Lamaque mine, seeing a maiden resource as significant as it was at Ormaque 800,000 ounces, just shy of 10 grams. Within a year of discovery hole, if I'm not mistaken, that's a positive, especially when you take into account that the mill there at Sigma is quite underfed and certainly there's ability to increase capacity. So we look forward to that story playing out. And then Eldorado’s proposed acquisition of QMX, I think also benefits us as we have, not a 1% NSR but a 2.5% NSR on that ground, and look forward to increased exploration work by Eldorado, once it's in there stable. I think I'll pause there. Except to say that, for a reset year, 2020 worked out quite well in my mind, a lot of advancements, the portfolio doing quite well. We remained focused, as we start 2021, on getting paid for that existing portfolio. There's a lot of value within it that we don't think we're currently getting credit for, that is our main priority. We'll remain disciplined thereafter and try to pick our spots in terms of improving it. But we think we did a lot of the hard work, in 2020, I think many of you have heard us say that, heard me say that. And I think we have a lot of room to catch up this year. So with that said, operator, happy to take questions.
Operator: [Operator Instructions] First question comes from Cosmos Chiu from CIBC. Your line is open.
Cosmos Chiu: Maybe my first question is on your 2021 guidance here. Certainly, good to see that it's increasing by quite a bit from 2020 levels. But can you give us a bit more color in terms of how it could look like on a quarter-over-quarter basis? The reason why I ask is, Sandeep, as you mentioned, for example, the Eagle mine here, right now, it's on the coldest months, not stacking. But at the same time, it didn't really get the full benefit out of Q4, given that there's timing differences. So how should we look at it in terms of, I guess, more specifically, Eagle and how that could impact your overall production quarter-over-quarter? Are we expecting lower in the first few quarters and then higher in the later quarters? Could you give us a bit more color, Sandeep?
Sandeep Singh: I can try Cosmos, and good morning. I think, that's a fair assessment. But I think overall, we didn't get the benefit of that Q4 number. So that'll drift into Q1. There's always, I mean, it happens on all of our assets. There's a bit of a lag in terms of when ounces are produced and when we get them from the refineries. At the end of the day, I think that generally tends to wash itself out. Eagle is one exception, where as it's starting to get to its full run rate, we'll continue to have that that story play out, that's short delay.So you're right, there may be a little bit of volatility. But overall, I think even with the colder months here and the lack of stacking, I think there's been a lot of improvement at the mine. I think they've taken the opportunity to, whatever you want to call it, debottleneck or work on their optimization efforts. So hopefully, there isn't that kind of that dip after Q1 into Q2, and we see continued improvement towards the end result. So it's premature for me to say, because it's not in our control. But I do look forward to maybe a little bit of variability on that one, quarter over quarter. But generally, I expect that variability to be positive, if that makes sense.
Cosmos Chiu: And then, Sandeep, can remind us what's the usual leg here at Eagle and when would you expect them to start stacking again at the mine?
Sandeep Singh: So maybe I'll take the other, the second question first. And Fred, I don't know if you have a specific answer, month wise off the top of your head on Eagle. But I would say soon, in terms of stalking again, I don't know if that -- when that means if that means in March. I remember with a 90 day proposed shutdown from a just a stalking perspective, they continue to mine minus the coldest days where they're worried about just the inefficiencies of trying to do things. So I would suspect they're probably most of the way through that. Maybe that carries into a little bit of March. It's a 90 day period of the coldest part of the year. So I'm speculating a little bit. But I think it's pretty fair to say that we're through most of that by now. And Fred, I don't know if you have an answer. If you don't, we can get back to Cosmo. But do you have an answer in terms of the typical delay month wise at Eagle?
Frédéric Ruel: Well, I would say it's between one and two months, usually, where we see, for example, a good delivery on January 4, 2021. That was, of course, related to a production of end of November and December. So sometimes, there's this one to two month delay that that can create some volatility with one quarter to another, but that's usually within one or two months that we’ll receive our delivery for the royalties.
Cosmos Chiu: Maybe switching gears a little bit here. Sandeep, as you mentioned, one of the highlights, many highlights, I guess, but one of them is the Alamos and their discovery or their increase in inferred ounces here at Island Gold. So my understanding is that a lot of those inferred ounces higher grades came from Island Gold east. Just to confirm, as you mentioned, I guess the NSR over there is higher at 2% to 3%.
Sandeep Singh: Yes, that's correct. And look, I think it's tough to say exactly. We have our own views but they’re based on our views. But I think, definitely as you go to the east, you get into our 2% ground. As you go deeper, including some of the deeper inferred ounces that are currently in the mix, you get into both our 2% and 3% ground. So we have our internal views as to what that averages out to. But at the end of the day, what it is, is positive.
Cosmos Chiu: And then, I understand that Alamos recently acquired Trillium Mining, which is, again, to even further east than Island Gold east. Do you have any kind of royalty on that ground by any chance?
Sandeep Singh: Not to my knowledge, I don't think we do. I think it's pretty fair assessment to say that we don't. But I think overall, I think all that is positive. For the most part, I think what we're seeing for Alamos when -- dating back to their acquisition of one of the other royalties that was on the ground, the exploration efforts they put into and keep breeding results, the $25 million roughly, I believe, it's exactly or roughly $25 million exploration budget this year. That acquisition of other ground in the area just shows the importance of that asset within the portfolio. It's obviously working out exceptionally well for them, and we hope that continues overall to their benefit, obviously, disproportionately, but also for ours.
Cosmos Chiu: And maybe going to Eldorado’s LMAC, as you mentioned, they made a recent -- they made the discovery last year actually, but the inaugural inferred resources at Lamaque here. I think, if I look at it, some of the further -- of course, there is still expanding Ormaque, but they're also looking at new sort of areas. Fortune is one. They're also looking at the area between, Ormaque and the Parallel zone. I just want to get a better understanding in terms of your ground for that royalty here. And would it include everything that's expansionary at Ormaque and then also at some of these new zones as well, like Fortune and this area between the Ormaque and the Parallel?
Sandeep Singh: I can definitely go back to double check for you Cosmo. And if I misspeak, I'll correct myself. But I think the answer is yes. On the 1% ground and then what is incremental to that is the 2.5% ground that we have. It has a little, I think, it misses a couple of postage stamps. But on the QMX ground, particularly it’s 2.5% on everything of consequence, including the Bonafont area. So I think it's pretty safe to understand it is 1% on everything that Eldorado has today and then 2.5% on anything they acquire through QMX.
Cosmos Chiu: And then, Sandeep, maybe if I can, one last question here. As you mentioned in your opening remarks, you talked about looking forward to higher gold and silver prices, which is great. But in that context, could you maybe comment on how that could potentially impact the overall sort of new streaming, new royalty financing acquisition market. And then maybe bigger picture, how is that market right now?
Sandeep Singh: It's a good question, and we've talked about it, Cosmo, I think I've probably talked about it with many of you on the phone. I think, it's safe to say, I said it earlier, the market for new transactions, that has gotten tougher. I mean, with equity markets open, with debt available, with new new players on the smaller end, private equity very active on the middle to larger end, operators buying back royalties in significant ways in 2020. If you think about Alamos’s acquisition, you think about Newcrest on Lundin Gold. So I think it's anyone who tells you there isn't more competition in the sector is lying. So I think that's fair. It happens in the sector. I mean it ebbs and flows. There are certainly periods of time when our capital of the royalty company is more required. And you have to wait for those moments, I think, is our view. I'm certainly happy that Sean and the team have been investing in growth, building this portfolio over the last seven years, such that we have so much growth that we've already paid for in lower commodity price environments that we can benefit from. Not only that we can benefit from as it comes online, but also that more open equity markets can push those assets faster than they've been pushed in the past several years. I think it doesn't make it more competitive, yes. At the same time, does the pie grow when new assets are advanced, new assets are constructed? It does. So I think, generally speaking, there's probably been a lack of equity dollars to fund many of these projects and older reliance on debt and streaming, which can benefit us as royalty and streaming companies, but it can also hurt us when things go wrong. So I think finding the right balance within that and having generally more equity dollars in the mix is a good thing. It's certainly a good thing for our portfolio, the way it's constructed with as much growth as we have on the com in the next several years. And because of that, we can afford to be, I think, a lot more disciplined, maybe more discipline than anyone in our sector right now. I certainly wouldn't want to be building a portfolio from scratch. I'm happy we have the one we do.
Operator: And the next question comes from the line of Jackie Przybylowski from BMO Capital Markets. Your line is open.
Jackie Przybylowski: I just have one question, I guess, more strategic for you. You mentioned this at the beginning. So I just wanted some clarification on your North Spirit division. Now that you've restructured with ODB. Is North Spirit is still something that's active and separate for yourselves? Are you still pursuing that avenue with private equity, or is that sort of mission has been accomplished with the creation of ODB? Thanks.
Sandeep Singh: No, it's the latter. And hopefully, we were clear with that when we did it. I mean, North Spirit was the working name. I guess when the transaction was announced in the fall of 2019, North Spirit in our mind was renamed Osisko Development Corp and started life in the fall of 2020. So yes, that's very much North Spirit reincarnated, if you will. So that's hopefully answers your question on that part. Tangential to that, if the question is, are we still looking to do traditional accelerator type business, I think, I've been pretty clear with everybody that that business has been, in its purest form, wildly successful for us, not only on a financial perspective but also in terms of building out the pipeline. So if we can continue to find avenues to deploy $5 million or $10 million to turn them into $50 million and $100 million, and kick back valuable royalties without competition or with far less competition as opposed to having to pay up for them, picking up on the last conversation we had, I think that's something we'll look to do all day long. The gating item on that is not interest. It's availability of assets that we actually like. So on the bigger end, to your point, we found the right home for Barkerville, that was always the intent when we announced the transaction. It was to put that back into the right vehicle so that it had value for us. That value, I think, is undeniable in terms of how it's gotten created. And we're happy being back in our lane, so to speak, as a royalty company.
Jackie Przybylowski: I guess, you answered exactly. I guess I was kind of wondering if you would use that North Spirit vehicle to do other accelerator model type transactions. But I think you've answered that perfectly. So thanks very much for that. I think Cos covered off my other questions. So I will leave it there and I'll talk to you next week. Thanks very much, Sandeep.
Operator: And the next question comes from the line of Ralph Profiti from Eight Capital. Your line is open.
Ralph Profiti: I want to come back specifically to the 2021 guidance, and maybe we can exclude Renard, because there seems to be some good disclosure on the potential contribution. But maybe, Sandeep, can you tell me which assets you're comfortable saying that there's upside versus current expectation and room for outperformance versus guidance? Because there seems to be a fair amount of conservatism baked into the 2021 guidance? Is it from Mantos where you could see some contribution where there's none?
Sandeep Singh: Sure, happy to do that, Ralph, to the extent that can, obviously. I think, conservatism is probably a fair word and that it was intentional. I think, with Mentos, for our guidance perspective, we've kicked that into next year, just didn't feel it was worthwhile trying to quibble about a month here or there. Initially, it happened in phases. But initially, that expansion was due to get completed midyear. And then as soon as COVID hit, just normal construction delays plus COVID related delays pushed that to the end of the year. I think, saying at the end of the year and getting the benefit of it in 2022 is fine by me. I think we've also been a little bit conservative on the Eagle side. Last year, we like everybody else, budgeted more and didn't receive it. So I think we've taken a slightly conservative track on that side, and hopefully, there's some upside there. And then also on things like San Antonio, we've said really only giving ourselves the benefit of a trickle of stockpile production really at the end of the year. The prize there is the bigger asset. But despite the desire and what's happening is pushing that out faster. It's still reliant on Mexican permitting and bureaucracy, which, within COVID, I think you've probably seen throughout the sector, has gotten pretty delayed. So I think overall, we've taken the tack, including with Renard. I mean we took the decision last year that until we're getting paid for those ounces, it's unfair to put them in guidance. So we've tried to take a conservative approach to everything. Hopefully, when that asset comes back, and we are getting paid on it, it's a positive net surprise as opposed to something we're putting out there and then trying to chase. So I don't know if that answers your question directly I probably answered directly as I can. But that's the task we've taken and I think it probably serves us well.
Operator: And your next question comes from the line of Trevor Turnbull from Scotiabank. Your line is open.
Trevor Turnbull: Sandeep, just to follow-up on San Antonio and I may have -- you may have just addressed this with Ralph but I didn't quite catch it. Did you say San Antonio, there are a few ounces potentially coming through, but did you include that in 2021 guidance?
Sandeep Singh: I did, and maybe I'll let Sean speak for San Antonio himself as opposed to me paraphrasing for him. But even if we did, which we did, Trevor, it's small, that's not the larger production story there. So us factoring in a little bit of it this year does not change the answer all that much. But Sean maybe if you're on you can pick up on kind of the general plan for San Antonio…
Sean Roosen: So I mean, we expect a little bit of production at San Antonio this year, according to where we sit right now from the existing stockpile is about 1.1 million, 1.2 million tons of stockpile that we hope to have under irregation sometime in Q4. And you know, it's mostly oxide, so at least fairly quick. But I don't anticipate it to be a big contributor this year. But certainly 2022 looks like a great year for the development there as we're also pursuing the permit for the larger Saputi project. We have the necessary permits for the stockpile now. But the big kahuna here will be to get Saputi itself under leach, which we hope to be able to build next year. And we've already secured 15,000 ton a day crushing and screening circuit from the Britannica mine for that purpose, and we're shipping up to Mexico as we speak.
Trevor Turnbull: And I think you just answered the second part of my question, Sean. So the permit is only for the larger project and what you have on the stockpile that you'll be processing towards end of this year is not dependent on getting that permit or kind of getting delayed by COVID?
Sean Roosen: No, it's already mined that stuff. The big thing about the stockpile is we just have to restack it on a purpose built leach pad. So it's basically load haul screen and then a little bit of crushing. And hopefully, the equipment that we have in hand now we can set that up and get that running into say for Q4.
Trevor Turnbull: And then I have a bit of a financial question, and I guess in some ways, it's also related to San Antonio. You did mention, I guess, Fred and Sandeep, both talked a little bit about the noise related to the transaction and how that's come through on the consolidated financials. Going forward, do you think there's much noise left to shake out or will things be a little bit clearer other than the fact that they're consolidated in future quarters?
Sandeep Singh: Maybe I'll start Fred, and if I miss something you want to add, feel free. I'd say, certainly, we think it's mostly behind us, Trevor. I think the transaction itself was pretty complicated. It had a lot of facets to it. So that's all been factored into our Q4 for the most part. If I'm missing something, Fred, you can contradict me. But going forward, we do see clear reliance from that. We try to incorporate as much of that as we could in Q4. And yes, there will be continued ongoing noise with respect to the royalty business. And the mining business, we've done in these sets of financials and the MD&A, are the best first effort of trying to separate that for you, as analysts and investors. And we'll continue to do that and hopefully get a little bit better at it and smarter at it as we go. But that's certainly the intent, Trevor. Fred, did I miss anything?
Frédéric Ruel: No, I mean, all costs related to the RTO, these one time items, were accounted for in 2020 and we are not expecting any additional costs related to the transaction in 2021.
Trevor Turnbull: And Fred, I know you commented on this earlier, but specifically with respect to Q4. What was the tax impact you said from San Antonio kind of on the earnings in Q4?
Frédéric Ruel: Yes, it was a tax payment of $4.5 million. In Mexico, if you'll recall that transaction was done just prior to the RTO while Saputi, which is holding the San Antonio project was still a direct subsidiary of Osisko Gold Royalties, it's now a subsidiary of Osisko Development, it's still being consolidated. But the project was within separate Saputi and when Osisko Bermuda, our subsidiary, acquired a stream from the San Antonio project for $15 million, there's 30% corporate tax in Mexico. And the treatment of a stream when you are receiving the deposit in Mexico is different than in Canada. In Canada, the taxes on that revenue will be deferred to the moment that you will produce the ounces. In Mexico, it's taxed on day one. So generating $4.5 million payment in taxes and cash tax that will be paid in Q1. But of course, it will reduce the taxes payable by Saputi when they will start their production. So it's like a prepayment of taxes if we compare to what would be the treatment in Canada.
Operator: And the next question comes from the line of John Tumazos. Mr. Tumazos, your line is open.
John Tumazos: The ODC restructuring splendid and you did everything you said you were going to better than you said you were going to. And you have all the progress outlined in some of your slides today, which are really very effective in communicating the new resources and projects on the come. When OR first started trading in July 2014, the shares were almost $15. And I guess the good news is that since July, August, gold price peaks, OR has gone sideways. And the other leading royalty streaming companies have gone down 30%, 40%. So maybe ODC is effective in that regard. But my sense is that the market just can't digest all the progress you're making. Do you think there's another simplification you could do or a better way to help the market understand the 20 or 30 moving parts that are all moving ahead?
Sandeep Singh: I mean, there's a fair bit to unpack there. So I'll do my best. I mean, to answer a part of your question. We missed out, we feel like, we lost ground, obviously, in the fall of 2019, from a share price perspective, that's a given. And then we missed out on the run up in the first half of 2020, as gold prices ran and gold equities ran. Despite that, in 2020, we still ended up being I think the second best performing royalty company in the sector. Whilst I wish that would have been by us going up, it happened to be by us outperforming, as you say, in the second half by standing still in what was a downdraft over the second part of the year, or part of it at least. I think the transaction we announced, I would all by side agree with you, did more than most people probably would have expected of us when we started communicating our intent at the start of 2020, unlock a considerable amount of value that's, we can't argue with, given how much money Sean has been able to raise on the Osisko Development front to justify that value. Happened into a downdraft, again, that same downdraft we announced that transaction, I think it was October 2nd or 3rd, we closed it December 2nd or 3rd, generally a downward momentum from a gold price perspective and a gold equities perspective. But nonetheless, the value has been created. We certainly don't think we've gotten the credit for that or what's happening within our royalty portfolio. We're working towards that. Eventually, we will say and do enough to get the benefit of it. And really, at some point, I think that benefit will be undeniable. I mean, the assets are just working beautifully. They're making more money than they ever have for us. And at some point, that growth pipeline is going to kick in in a bigger way than it already has. So those development assets that people are discounting pretty heavily become pretty tough to discount when they're actually hitting the bottom line. So that that's ongoing. We'll do what we can, John, to to fast track it. I think, 2020, we did the hardest part of the restructuring. Obviously, we hear a lot about the ownership in Osisko development, it was 88%, it’s now 75% without us having sold a share. But there's a lot of value that was created there. And as we've said, we'll be smart about how we can tap into that value. But those are the things that we can control. The portfolio that we can't is doing really well. So eventually, we do expect that to prove out. I mean, this is a portfolio that matters in the sector. These are assets that matter. Our flagship asset was the best gold royalty in the business. It just got twice as good. So we do think we will go back and get better value for these [assets].
John Tumazos: Do you think it would help if you had a little real time Excel model for your stock holdings or yours ODC stock holdings, or do you think your attorneys would let you take some of the things you put on your slides and have a model where someone could download the Excel and put their own gold and silver and diamond prices in, or quick to include NSR and non-NSR?
Sandeep Singh: To the first part of your question, I mean, I think from OGR and Osisko Royalties perspective, really the two biggest chunks of value we have on the equity on the investment side are Osisko Development and Osisko Mining, to a lesser extent Osisko Metals, but that's really it. So people can value those. On a day like today, that's a billion dollars of value and a pretty paltry remainder for the royalty business. Even if you don't take market values at a given any kind of discount you want to apply on that, the answer is still the same. The royalty portfolio deserves to be trading better than it is, that's the job we've set out for ourselves to undo. Your question is an interesting one, we're looking to do whatever we can to daylight the value of our portfolio. It's an interesting spot we're in. If you think about the larger companies in our our peer group, they generally tend to have 80% or 90% of their value in the producing space, in the producing side of their portfolio.So they're getting credit for 85%, 90% of their asset value. If you look at the smaller companies, they have a handful of assets, or half dozen assets, whatever it may be, everyone models, every single one to the last dollar and they get full credit for that as well. Us in between we have what is a pretty deep meaningful set of assets, pretty deep portfolio and 50% of it give or take is in the development category. So we're not getting the benefit of that in cash flow today, but it matters. And if you look to duplicate that portfolio, I don't know what it would cost you today. I mean, on these pages, wherever they are, 16 and 17 at the back of our deck -- 18, 19, these are the types of things people are paying $50 million plus for in our market and we have in our portfolio, and we don't talk nearly enough about them, which is also something that we're looking to rectify.So the good news is, the value is there and we'll make sure we do a better job of daylighting it to people, different ideas on how to do that John or welcome and we'll definitely give that some thought.
Operator: And your next question comes from the line of Adrian Day from Adrian Day Asset Management. Your line is open.
Adrian Day: You just answered my question about the selling down of the development shares, but you just answered it. Thank you.
Operator: Thank you. And your next line comes from the line of Puneet Singh from Industrial Alliance. Your line is now open.
Puneet Singh : Just a quick one on asset upside. A question for Éléonore, who has been a key royalty for you over the years. I guess Newmont still working through their assets that they got from Gold Corp. But I just want to see if you can provide some color on this, that plant that Éléonore has capacity over 7,000 tons per day. In years prior, I think it was Gold Corp’s plan to eventually build to that. Today, Newmont still operating well under that. Do you think Newmont builds up to that in the years ahead, or where do you think they'll eventually take the throughput on that asset?
Sandeep Singh: I mean, it's hard for me to say. I think, rightly so the first thing they did when they picked up that asset is kind of reset the bar, in my mind, a little low after a couple of years, or however many years of expectations being set and then not met. And when you think about a new owner picking up an asset, I mean wouldn't that be the right thing to do. So that's what we experienced first, we dealt with that last year. So a steady state year now, frankly, a little bit better than steady state is positive, replenishing of reserves is positive, we're not seeing that happening across the board, frankly, based on what I've seen so far. In other people's disclosure, they did that at I believe it was 12 or maybe it was 12.50 gold for the reserves. So still amongst the lowest in the sector. And frankly, their reserve categories are maybe the most stringent in the sector. So I feel comfortable about the baseline. Thereafter, how they work to improve that, time will tell. I seem to recall kind of \circa $10 million exploration budget for 2021, targeting some of the deeper material but also looking laterally closer to service. So we look forward to getting some updates there. I know they were positive about some of the regional targets they have, and there's just more activity in that area overall. So premature and probably unfair for me to comment. But overall, I'd say we'll take steady state until things improve. It's a marked improvement over the last couple years.
Operator: Thank you. And the next question comes from the line of Brian MacArthur from Raymond James. Your line is open.
Brian MacArthur: Many of my questions have been answered. But just a couple things I want to follow up on. And I thank you for breaking out some of the consolidation because you had said it does take some time. But you mentioned investments of $215 million ex the ODV. And again, obviously, that’s metals and mining. But if I sort of looked at market value, there's some other stuff in there. Is that the Falco convertible or is there another -- back to Jackie's question about cleaning up the investments? I mean, it looks like there's another $20 million or something in there. Is that right or can you comment on that at all? 
Sandeep Singh: No, happy to Brian, and I was maybe a little slipped in that remark. I was trying to get to the bulk of that value. And the bulk of that value is obviously Osisko Development, the lion share Osisko Mining and Metals behind that. But we do still have small investments in stable resources and Talisker, for instance, and that will kind of break round out the rest, if you will. So both of those earlier stage still in nature, still we thought a lot of value to lock in those names, both doing positive things, just not to go off on too much of a tangent but stable having entered into a joint venture with South 32, where we have a 2% on that ground in Argentina. So look forward to them being more active. So yes, I was a bit short in terms of the list, but the list is not much, much longer than that.
Brian MacArthur: And then the second thing. So you're excluding Renard and I'm just trying to figure out how to --I assumed it comes into the financial, but you're putting the cash back into the company right now. Do you ever get that back, like you obviously have security at the end of the day, or how does this actually work? So we just think about the 8,000 GEOs this year, we kind of just go on and when you get it worked in next year, we start to include it again? Or is there a catch up in the future? Or how should we actually think about that, as you said, from a pure cash flow basis going forward?
Sandeep Singh: So it's not money that's being evaporated, Brian. It's money that's being reinvested into the business, and with the expectation of iti getting repaid. So it's essentially a loan into the business. And we're happy with where we are. I have to say going through COVID, I did not expect luxury goods to rebound as quickly as they have. So that's promising. I guess maybe the whole world has rebounded quicker than many of us thought. So getting $10 a carat higher than we were prior to COVID, I think is a good step in the right direction. The fact that with the reinvestment by, not just us but all the streamers of the stream back in, they're not having to draw on the working cap facility, they're making a little bit of money. That's all good news. I think it's fair to say that we still require another step change up before we can start getting paid on our stream and getting back some of those historical investments. So Fred, I don't know if there's any more detail you think is warranted. But that's how to think of it, Brian, it's not being evaporated. We certainly are keeping a running tally of it as our partners. And hope that with a bit more joy from a diamond price perspective that can come back into black.
Brian MacArthur: I would just say, it is a GEO at the end of the day. So that's, I'm just curious when you start getting back to get the cash back out.
Sandeep Singh: It's certainly chunky and we are absolutely focused on getting value for that. So trust me it's not a forgotten asset. We think it's not in our value in any way shape or form right now, which is fair. But in terms of option value assets that can be turned back on. I mean, there's a billion dollars of infrastructure, a good infrastructure that’s gone into that diamond mine. Balance sheet and diamond prices just went wrong at the same time. But that diamond mine should be profitable before any other diamond mine is built anywhere in the world. And frankly, we're not seeing any found that could be built. So we look forward to -- we're still not out of the woods from a COVID perspective. We're happy it's back restarted. We're happy we're up on a diamond price perspective so far. But want to keep that as a positive surprise, hopefully, as opposed to sticking our necks up too far and then having to justify it.
Brian MacArthur: Maybe just one quick question, maybe for Fred. I just want to confirm, I heard this right. When I go through your financials and try and deconsolidate the ODV stuff, there's that income tax payable of 6 million, which I guess is Canadian, that's that 4.3 million you talked about to true up the San Antonio deal, which you said ODB is paying that's right. So again, it's not cash you're going to owe.
Frédéric Ruel: No, you're correct. It's a cash tax payable by Osisko Development in Q1 2021, not by Osisko Gold.
Operator: And your next question comes from the line of Greg Barnes from TD Securities. Your line is open.
Greg Barnes: Sandeep, I just want to follow up on Brian's line of questioning on Renard. Is it a question of diamond prices there or is there more work to be done on the cost structure? What is it that will get that into a performing asset for you?
Sandeep Singh: I think it's obviously always both, Greg. So not saying it's only reliant on diamond prices. I think the good news for us is we saw the team sharpen their pencils, especially during the extended COVID shutdown, I would call it, to make sure that that cost could be reduced. It's always one of those things as a group of owners you ask for people to sharpen their pencils and cut as much cost as possible. And until it's absolutely necessary, the answer is always we're as lean as we can be and then blow into hole that you find more. So I think the group has been doing a great job from that perspective. I think there's continued possibility to optimize that. But I think it's fair to say that the biggest chunk of gain there can come off the back of diamond prices for sure. And then that's always true with any mine and any commodity cycle, the commodity price can be a lot more good for you than the OpEx. Obviously, we want the team to be focused on the OpEx because that's the only thing they can control. But you know we've already seen a good move. After years of waiting for it, we saw Argyle finally throw the towel in and that's significant, because that's not only the 15% of diamond annual supply it's also in the same, very similar, I guess, quality and size fraction as Renard. So we look forward to continued uptick on that side. I think it's certainly possible and obviously necessary.
Greg Barnes: And just on mall side, you mentioned that they have unfettered access back to the site again. Is there any kind of timeframe that you could lay out on what could happen there?
Sandeep Singh: I mean, maybe I could, but I won't, because I think, it would be reckless of me to do that. I think we are -- I certainly am positive, more positive than I thought I'd be a year in it. It seemed like a pretty desperate situation a year ago, a bit longer than a year ago. The truth is that was a good to very good asset at $1,400 gold. It's a company maker at '18. And it's arguably 70% or 80% built depending on the miner step back you have to take to get going again. So I think it's an asset that matters. Armenia was in a tough spot before COVID and before a war with Azerbaijan. So I think this is always an asset that really even the community wanted in large swaths, the government certainly wanted, it's approved. The unfortunate aspects there are just the push backs are really largely artificial in nature or -- it’s a wrong terminology. But I think you know what I mean. So with that kind of out of the way, we look forward to some positive developments. But until they happen, I think tough for us to bang on the table and talk about it. But I think if you look at the sector as a whole, certainly a ton of examples where if the asset is good enough and this asset is clearly good enough, there are people that decides to take another run at it. And then this one frankly being as far as advanced as it is, it's one of the few mines that can hit the cycle pretty quickly.
Operator: Your next question comes from the line of Jeremy Hoy from Canaccord Genuity. Your line is open.
Jeremy Hoy: You guys have answered most of my questions so far. Just one quick one left on G&A. Previously you guys had indicated with the odd spin out that it would drop for OR with significant chunk of the management team going over to ODV. Going forward, can we expect to see the G&A expenses for ODV split out or will it be consolidated? I know we touched on this earlier talking about those, but a little more detail would be appreciated.
Sandeep Singh: I think that's a fair way to think about it going forward in terms of that division. I think you'll see a bit more segment information going forward. We didn't try to overdo it this time around, because we kind of owned -- we did own the assets all within OR for the vast majority of the year, 11 plus months out of the year. So we kept it a little bit simpler. But going forward, we'll do our best job of being able to show you exactly what's happening on each side of the business, because it's important to obviously each set of shareholders.
Operator: And your final question comes from the line of Don Blyth from Paradigm Capital. Your line is open.
Don Blyth: I mean, little further on that consolidation accounting, presumably at some point when you allow your ownership to be diluted down, you will remove that consolidation. Would you do that when you dilute to under 50%? And secondly, if you still are under a consolidation accounting when ODB is into production, would you have to report both ODB’s gold and your share of ODV gold production and your attributable royalty production in your results?
Sandeep Singh: The answer to your first question is yes. So obviously, at some point, we will not be consolidating. Again, started out enough in December at 80%. We're down to 75%. That's just based on dilution. Eventually, when we're below, it's not exactly a bright line at 50% but you can think of it as such, I think reasonably closely. There's other determinants that go into it. So below that level, obviously, we will stop consolidating. I think that's obviously noise that everyone would prefer to not have. And the second part of your question, the answer is yes. Whilst we are still consolidating and obviously, we will have to deal with that. I think as I said, we took a good crack at it this quarter in terms of separating things for people, we will continue to do that and frankly, probably get better at it. But whilst I'll say accounting is important, it’s not what drives decisions, value matters and we'll do our best to uncomplicate things. But the heading is value and then we're not going to lose sight of that. But hopefully that answers your question, Don.
Don Blyth: I think part of your undervaluation is a little bit of confusion. So I think you can make to get it more simple, probably help someone.
Sandeep Singh: And that's completely fair, and it's not lost on any of us. So trust me, we're reminded that way.
Don Blyth: Thanks, Sandeep.
Sandeep Singh: Operator, were you serious when you said that was the last question?
Operator: It was. So this concludes the Q&A session. I would like to turn it over to you, Mr. Singh, for concluding remarks.
Sandeep Singh: Okay. Well, thank you for the time and the interest, everybody. I think it was useful to get that output, and that back and forth with you. So thanks for your questions and your time, and have a good rest of your day.
Operator: This concludes today's conference call. You may now disconnect.